Operator: Third Quarter 2024 Earnings Conference Call. My name is Sherry, and I will be your operator for today's call. Joining us today are Airgain's President and CEO, Jacob Suen, and CFO, Michael Elbaz. As a reminder, this call is being recorded and will be made available for replay via a link found in the Investor Relations section of Airgain's website at investors.airgain.com. Following management's prepared remarks, the call will be open for questions from Airgain's covering analysts. I caution listeners that during the call, Airgain's management will be making forward-looking statements about future events as well as Airgain's business strategy and future financial and operating performance. Actual results could differ materially from those stated or implied by these forward-looking statements due to risks and uncertainties associated with the company's business. These forward-looking statements are qualified by the cautionary statements contained in today's earnings release and Airgain's SEC filings. This conference call contains time-sensitive information that is only as of the date of this live broadcast, November 12, 2024. Airgain undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call. In addition, this conference call will include a discussion of non-GAAP financial measures. Please see today's earnings release for further details, including a reconciliation of GAAP to non-GAAP results. Now I would like to turn the call over to Airgain's CEO, Jacob Suen.
Jacob Suen: Thank you, operator. Good afternoon, everyone, and thank you for joining us today. I'll begin with a brief overview of the company and our quarterly performance before handing the call over to our CFO, Michael Elbaz, who will walk you through our financials and Q4 outlook. I will then return for closing thoughts before we open the floor for questions. Before we dive into our quarterly results, I would like to introduce Airgain to any investors and analysts who may be less familiar with us. At Airgain, we simplify wireless connectivity across the entire value chain, from product design and carrier certification to integrated connectivity solutions. Our mission is to make wireless straightforward by creating connectivity solutions that are easy to understand, deploy, maintain, and integrate, ultimately enhancing the experience for our partners and customers. With over twenty years of experience in custom cellular and antenna design, we have developed a robust product portfolio ranging from embedded modems and antennas to comprehensive systems, including asset tracking, vehicle-level key, and smart network repeater solutions. Today, we are a global leader in wireless connectivity solutions serving consumer, automotive, and enterprise markets worldwide. Demand for connectivity is surging, and we are confident that our expanding addressable market and commitment to innovation will fuel sustainable long-term growth. With emerging technologies, we are well-positioned to address the market's evolving needs with industry-leading wireless solutions.
Jacob Suen: Turning to our Q3 performance, we achieved strong sequential revenue growth despite continued macroeconomic challenges, which, while less severe than last year, remain a factor. We reported sales of $16.1 million, a 6% increase over the second quarter, which slightly exceeded the midpoint of our guidance range. This growth was largely driven by robust sales in consumer embedded antennas and the successful launch of our AirgainConnect fleet automotive applications. Despite softer sales in our enterprise market this quarter, we also saw an uptick in sales of our Wi-Fi 7 router antenna systems to a tier-one MSO partner, as well as the initial sales of our AirgainConnect Suite 5G vehicle gateway. I am pleased to share that AirgainConnect fleet achieved certification from major operators, including T-Mobile and AT&T, along with key industry bodies. This certification is a critical milestone, validating our technology's performance, ensuring network compatibility, and opening broader commercialization opportunities across US markets.
Jacob Suen: Turning to our three core markets, our consumer market delivered exceptional growth in Q3, marking our best performance in this market since Q3 of 2022. After initial shipments of our first Wi-Fi 7 router antenna system to a tier-one MSO last quarter, Q3 saw us ramp up shipments significantly. Additionally, our tier-one MNO embedded antenna shipments continued to accelerate following initial shipments in Q1, generating $6.9 million in revenue, an impressive $2 million increase over the second quarter. These results highlight the strong demand for advanced connectivity solutions, with Wi-Fi 7 adoption steadily gaining momentum across the industry. While adoption rates vary among MSOs, Airgain remains at the forefront of the transition to cutting-edge wireless technologies. Looking ahead, we are optimistic about maintaining this momentum with plans to begin shipments to another tier-one MSO in early 2025, further solidifying our leadership in this evolving space. We anticipate a moderation in demand during Q4, which will result in a reduction in Wi-Fi 7 shipments for the upcoming quarter. However, following the typical seasonal impact in Q1, we remain optimistic about the robust growth prospects driven by the ongoing Wi-Fi 7 industry transition and the accelerating adoption of our MNO solutions. We believe these factors collectively strengthen our long-term growth trajectory.
Jacob Suen: In our automotive market, where we concentrate on delivering advanced aftermarket solutions for public safety and transportation vehicles, we achieved strong progress this quarter even amid persistent inventory challenges. Despite these headwinds, we are encouraged by the positive momentum we are establishing, reflecting the growing demand for our solutions and our ability to effectively navigate uncertainties. In Q3, automotive market sales reached $2.5 million, a $0.8 million increase over the second quarter, driven primarily by higher sales of AirgainConnect fleet antennas and initial shipments of AirgainConnect fleet. This rising demand for our innovative solutions and a sequential increase in sales gives us confidence in this market for the fourth quarter. Completing this quarter, a key achievement was the final production certification phase for AirgainConnect fleet, including approvals for use on AT&T and T-Mobile networks. Customer feedback from trials has been highly positive, particularly regarding the solution's performance, ease of use, and compact form factor. We believe this all-in-one concept provides our customers with a time-to-market advantage and a lower total cost of ownership. We have extended customer trials to nearly forty across domestic and international markets, with shipments expected to increase as these trials progress. Additionally, we anticipate further carrier certifications in the coming months, both domestically and internationally, which should unlock new revenue streams. Our rugged outdoor antenna, AirgainConnect fleet 5G, designed to deliver high-performance 5G connectivity for fleet and public safety vehicles, continued to gain momentum in Q3, specifically with counties and municipalities. While the longer sales cycle for AirgainConnect fleet warrants cautious optimism, the strong interest in this product is highly encouraging. Looking ahead, we are confident the automotive market is playing will continue well, fueled by the strong momentum of AirgainConnect fleet. We anticipate additional certifications and customer trials in Q4, setting us up for a strong finish to the year.
Jacob Suen: Finally, our enterprise market saw a larger-than-anticipated decline in Q3 compared to Q2. While we continue to expand our asset tracker portfolio, enterprise sales decreased to $6.7 million, down $1.9 million from the previous quarter. This drop was primarily due to lower sales of embedded modems and custom products. The dip in embedded modem sales reflects a temporary slowdown after a surge in Q2 driven by multiple new design wins. Additionally, custom product sales were impacted by excess inventory, with two major customers indicating surplus may extend into the first half of 2025. While these inventory challenges are new, they continue to pressure our revenue, but we are actively taking steps to lessen the impact as we move forward. We continue to make strong progress with our asset tracker strategy, broadening our focus beyond logistics and railcar sectors to include healthcare IoT applications, specifically in the aerial chain for high-volume temperature-sensitive assets. Our newly launched AirgainConnect fleet asset tracker, powered by advanced artificial intelligence, is designed to autonomously detect takeoff and landing events. This AI-driven functionality ensures seamless compliance with FAA regulations by automatically switching to airplane mode, a critical feature that removes the need for any manual intervention and significantly enhances user convenience. The AirgainConnect fleet is built for the unique demands of the healthcare IoT sector, offering extended battery life of over a year and a broad operating temperature range down to minus twenty degrees Celsius, ideal for tracking temperature-sensitive medical assets like vaccines and pharmaceuticals. This device has already received strong market validation with an initial purchase order from a major healthcare provider, and we anticipate beginning shipments in Q1 2025. In the railcar sector, we have expanded our portfolio with specialized railcar-focused features based on the design wins announced last year. This sector provides us with a unique opportunity to leverage our asset tracker's competitive advantages, including cellular connectivity, battery longevity, and tailored configurations to meet the stringent technical and environmental demands of the market. Shipments of our Lantern FWA product, which began last quarter, contributed minimally to Q3 revenue due to a slower-than-expected transition from indoor to outdoor solutions in American markets. We believe Lantern's primary opportunities lie in build-over applications for small enterprises and network extension, commercial, and residential uses. While the design win to sales cycle is lengthy, we are actively pursuing these applications. Looking ahead to the rest of 2024, we expect a modest quarter-over-quarter uptick in enterprise sales as inventory levels normalize. Despite some temporary softness in custom products, we are confident our expanding product portfolio and sales pipeline position us well to navigate these short-term challenges.
Jacob Suen: Overall, we are encouraged by the strong momentum demonstrated across several key product lines this quarter. Our broad and diverse product portfolio positions us well to capitalize on emerging growth opportunities, reinforcing our belief in a sustained rebound. As we have previously communicated, we are actively advancing our strategic shift from being solely a component supplier to becoming a comprehensive provider of wireless system solutions. This transformation highlights our commitment to delivering end-to-end solutions that meet the evolving demands of the market, positioning Airgain for long-term success. Our growth strategy centers on two primary pillars: maximizing our established business and expanding into integrated wireless solutions. First, we are committed to executing our established business, where Airgain's traditional strength lies in component-based solutions deployed across consumer, automotive, and enterprise applications. This includes our embedded modems, custom products, embedded antennas, and aftermarket automotive solutions. Over the years, we have built strong partnerships across the value chain and achieved significant milestones in recent quarters. Looking ahead, we see substantial opportunities within these established product categories, driven by several key factors, including the ongoing ramp-up of tier-one MSO Wi-Fi 7 shipments, embedded antenna design wins with mobile network operators, and the expansion of the AirgainConnect fleet antenna sales pipeline across both automotive and enterprise markets. With our expanding product portfolio and growing customer pipeline, we are optimistic about the growth potential of our established business. This strong foundation allows us to leverage our expertise and market presence for long-term success.
Jacob Suen: Alongside growth in our established components business, we see our wireless system solutions as the main driver of upside potential in 2025 and beyond. Key areas of focus include asset tracking and 5G connectivity solutions, which represent our roadmap solutions and the most significant strategic growth opportunities. Airgain's asset tracking solutions are increasingly utilized in transportation, supply chain management, and other specialized applications. Over the past year, we have refined our strategy to focus on sectors where we can leverage our innovation and brand to expand our product portfolio with premium, higher-margin offerings. Each suite offers strong recurring revenue potential through multiple subscription-based components, including our NimbleLink cloud-based device enablement platform and tracking dashboards. These services enhance value for our customers while establishing a foundation for sustainable long-term revenue streams. Our 5G connectivity products open up substantial growth opportunities across multiple sectors, with our largest growth drivers in smart network control repeaters leading the way. Our Lighthouse smart repeater series significantly enhances network coverage for mobile operators, addressing connectivity challenges in difficult-to-reach areas and accelerating 5G adoption across industries. Vehicle networking is another key growth area. Our AirgainConnect fleet vehicle gateway is designed for public safety and fleet management, delivering essential cellular, GPS, and Wi-Fi connectivity to support mission-critical communications. Fixed wireless access rounds out our growth opportunities. The Lantern FWA product suite is designed to provide broadband connectivity for homes and small offices, meeting the rising demand for accessible high-speed wireless Internet. While this product shows strong potential, we are taking a measured approach as the market shifts toward outdoor solutions. Together, Airgain's system solutions enable us to meet diverse connectivity needs, from residential and commercial settings to public safety and transportation. Within the fast-evolving 5G landscape, interest in our 5G offerings is strong, giving us confidence in its growth potential for 2025. At Airgain, our vision of connecting the world by making wireless simple is steadily becoming a reality. Our expanding suite of innovative solutions is designed to seamlessly connect devices from the core network to the edge. By delivering high-performance, intelligent wireless technology across a broad range of applications, we are simplifying connectivity across industries. From enhancing in-building and outbound cellular coverage to enabling precise asset tracking in challenging environments, with products that optimize signal quality, extend coverage, and ensure stable connections, Airgain is breaking down the complexities of wireless technology, bringing us closer to a world where connectivity is both limitless and ubiquitous. As our vision becomes reality, we are also capturing significant opportunities in a rapidly expanding market landscape. Collectively, our product line positions us within a visible addressable market projected at $1.1 billion in 2024, with substantial expansion to $2.6 billion in 2025 and $5.5 billion by 2028. This remarkable growth is driven by our strategic entry into high-growth markets, including vehicle gateways and smart network control repeaters, which capitalize on the increasing demand for advanced connectivity solutions. This expanded TAM reflects our transformation from a component provider to a comprehensive wireless systems solutions company, underscoring our ability to capture significant market share as these sectors rapidly evolve. Reaching $5.5 billion by 2028, our core strategy sets a strong foundation for substantial long-term success across high-demand connectivity markets. Overall, our multifaceted growth strategy underscores our commitment to capitalizing on current demand while actively positioning Airgain for substantial long-term growth as a leader in advanced wireless connectivity solutions. With that, I will turn the call over to Michael to discuss our third-quarter 2024 financial results and outlook for the fourth quarter.
Michael Elbaz: Thank you, Jacob. Before diving into the numbers, please note that my review of our financial results and guidance refers to non-GAAP figures. Information about the non-GAAP financial measures, including GAAP to non-GAAP reconciliations, can be found in our earnings release. Now let's turn to our third-quarter results. As Jacob mentioned, Q3 sales came in at $16.1 million, just above our guidance midpoint of $16 million. This marks a 6% sequential increase and an 18% year-over-year growth, driven largely by the strong performance of our consumer market. Consumer sales reached $6.9 million, a sequential increase of $2 million, driven by strong demand for our tier-one MSO Wi-Fi 7 antennas following initial shipments in Q2. Additionally, we experienced continued momentum in our tier-one MNO FWA antenna sales in the third quarter. Automotive sales came in at $2.5 million, up $0.8 million sequentially, driven by increased aftermarket sales and the initial shipments of our AirgainConnect fleet. Enterprise sales were $6.7 million, reflecting a sequential decrease of $1.9 million. This decline was primarily due to lower sales of our custom IoT products, impacted by excess inventory levels with two strategic customers. Q3 gross margin came in at 42.8%, up 130 basis points sequentially, primarily due to a favorable settlement. Year over year, gross margin improved by 380 basis points, reflecting stronger margins in our enterprise and automotive markets. This improvement was a result of continuous cost reduction initiatives and the launch of high-performance aftermarket and enterprise products over the past year. Looking ahead, we expect our AirgainConnect and Lighthouse solutions to further support gross margin expansions in the coming quarters.
Michael Elbaz: Q3 operating expenses totaled $6.9 million, remaining flat sequentially. Year over year, however, expenses rose by $0.9 million, primarily due to increased investments in our engineering and sales functions, while G&A expenses remained stable. This increase reflects higher product development expenses, including prototypes, certifications, and testing, as well as a roughly 25% increase in engineering and sales personnel expenses. The year-over-year increase was driven by our investment in the AirgainConnect and Lighthouse platforms. As we enter a new phase in their growth, we expect to further invest in these two platforms. Q3 adjusted EBITDA was $0.1 million, an improvement from negative $0.4 million in the prior quarter. This sequential increase was driven by higher sales and improved gross margin, while operating expenses remained flat. Non-GAAP EPS came in at breakeven. As of September 30, 2024, our cash balance was $7.3 million, down $1.1 million sequentially. Despite positive adjusted EBITDA, revenue linearity challenges led to a negative operating cash flow of $1.2 million. Our account receivable balance was $11.8 million, $3.2 million higher sequentially because of the revenue linearity challenges. Net inventory was $2.6 million, which was $0.5 million lower sequentially.
Michael Elbaz: Now moving to our outlook for the fourth quarter ending December 31, 2024. As a reminder, we provide quarterly guidance for sales, non-GAAP gross margin and expenses, non-GAAP EPS, and adjusted EBITDA as we believe these metrics to be key indicators for the overall performance of our business. For the fourth quarter of 2024, we project sales between $16.2 and $18.2 million, with a midpoint of $17.2 million. The midpoint represents a 7% sequential growth and a 71% increase over Q4 last year. We expect non-GAAP gross margin for the fourth quarter to be in the range of 41.5% to 44.5%, or 43% at the midpoint. The midpoint represents the fourth sequential increase in gross margin. We expect operating expenses to be approximately $7.2 million as we remain focused on developing the AirgainConnect fleet and Lighthouse platforms, supporting customer trials, and driving design wins. Non-GAAP EPS is expected to be $0.02 at the midpoint of the guidance. Adjusted EBITDA is expected to be $0.3 million at the midpoint of the guidance. Now I would like to turn the call back over to Jacob for his closing thoughts.
Jacob Suen: Thanks, Michael. Before we open the floor for questions, I would like to leave you with a few final thoughts. First, I am incredibly proud of our team's unwavering commitment to Airgain's strategic roadmap. We are executing several groundbreaking product initiatives, including Lighthouse and AirgainConnect fleet, under tight timelines. As of today, we are not only meeting our commitments but also staying on track with key milestones, a true testament to our team's dedication and the strength of our leadership. Second, we remain optimistic about the market potential and broader industry recovery. While certain product segments have faced challenges, we have made significant strides in product innovation, partnership expansion, and geographic reach. Our investments in new product launches and an expanded sales force position us well to navigate industry-wide inventory adjustments. We are confident that our resilience and focused execution will drive meaningful returns in the quarters ahead. Finally, our innovative products remain central to our value proposition. As the industry evolves with the shift to Wi-Fi 7, increased demand for asset tracking, and ongoing 5G coverage challenges, the global connectivity opportunity continues to grow. Many regions still represent untapped potential for our solutions. Our next-generation AirgainConnect fleet, Lighthouse smart repeater, and smart FWA solutions address critical connectivity needs and have garnered strong interest from major industry players. These innovations set us apart, positioning Airgain as a key player in the future of connectivity. I am very pleased to announce that we have received our first commercial order for the Lighthouse smart repeater from an international MNO. This milestone validates Lighthouse's competitive advantage in expanding coverage and enhancing network performance. With its ease of installation and deployment, Lighthouse is uniquely positioned to accelerate customers' time to market while reducing the overall cost of ownership. Looking ahead, our execution on our product development initiatives and ongoing customer trials, specifically AirgainConnect fleet and Lighthouse, sets the stage for significant growth in 2025, driven by expansion across all three of our markets. With that, operator, please open the call for Q&A.
Operator: Thank you. We will now take questions from Airgain's sell-side analysts. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. One moment while we poll for questions. Our first question is from Anthony Stoss with Craig-Hallum Capital Group. Please proceed.
Anthony Stoss: Good afternoon, Jacob, Michael. Good to hear your voices again. Jacob, thanks for some of the detail on Lighthouse. Can you maybe put a finer point on it in terms of the ongoing customer trials, how many there might be, and when you expect them to turn into volume production? I know you have got your first order. And I would also love to hear more about the AirgainConnect fleet. Similar question, you talked about a bunch of qualifications coming over the next couple of quarters. Maybe give us a sense of how many that might be and when do you think that is fully ramped?
Jacob Suen: Hey, Tony. Good to hear from you. Yes, so I just want to make sure I answer a couple of your questions. First, you talk about the trials. So for the AirgainConnect fleet, as I indicated in the call, we have roughly forty trials ongoing, and we expect that to continue to grow as we are closing out the year. And there are both domestically and internationally, although primarily domestically here in the US. We are also doing trials for the Lighthouse, and we have two expected to complete this quarter, Q4. We also have one that's pending domestically as well.
Anthony Stoss: Got it. And then I know you have mentioned you expect your enterprise, excuse me, your consumer products to be down in Q4, but then likely back up in Q1 for additional MSO launching Wi-Fi 7. How many other customers haven't launched Wi-Fi 7 with you yet?
Jacob Suen: So as far as Wi-Fi 7, in the US, there are really two major MSOs. And one of them, we first of all, we won both of these customers, which is really encouraging. So it's more of a timing issue. For the first major MSO, we actually started shipment in Q2, and that's why we actually have strong growth in Q3 because they really accelerated their deployment. And we expect that to continue. Now the second MSO, we expect that deployment to start, I would say, in the first half of next year. And in addition, we are also working with MNOs, that's more on the indoor FWA product as well.
Michael Elbaz: And, Tony, this is Michael. Just a quick clarification on your question. In Q4, we do expect a moderation in the revenue, mainly because Q3 was so strong. In Q1, we do expect the seasonal impact that we have, which tends to be negative, in the consumer product line.
Anthony Stoss: Got it. And last question, if I could squeeze in one more. Jacob, congrats on the major healthcare provider for your auto airplane mode tracker. I'm curious, how big a market do you think that is? Is this a product that you have to do trials with additional healthcare customers? Just trying to get a sense of how you expect that to ramp.
Jacob Suen: Yeah, great question. Yeah, so certainly, I would say it's still a niche market, but it could certainly apply to different applications. I think the fact is that we are now able to develop something with artificial intelligence. I think that's really something the first in Airgain's history to be able to enter this new exciting market, the AI market. And with that, the ability to be able to have predictability and be able to work with different, in this case, healthcare, but we can really use that technology in many other sectors as well. That's what gets us excited about the possibilities. So as I mentioned earlier, the market is still a niche, although we're seeing this particular technology can be applied to multiple sectors in the future.
Anthony Stoss: Very good, Jacob. We'll see you next week at our conference.
Operator: Thank you, Tony. As a reminder, our next question is from Tim Savageaux with Northland Capital Markets. Please proceed.
Tim Savageaux: Hi. Good afternoon, and congrats on another real solid quarter. I want to focus on the 5G network infrastructure opportunity as well. I know you mentioned an initial commercial order. I wonder if that's part of a broader rollout commitment from this tier-one customer and, as you get more advanced in these trials, what the overall opportunity would be at a major customer such as that one in a pretty significant deployment scenario if you have any better view of that. And also, when do you expect that initial order to ship?
Jacob Suen: Great questions, Tim. And I'm glad you picked it up. It's actually one of the exciting things that's happening. It's actually more pertaining to Q4 than Q3. In Q3, we have done a lot of the trials and discussions about actual deployment. And this is actually happening earlier than anticipated. The first order is for a deployment that's already happening, and this is only one of many. We are working with them on a much bigger scale deployment contract, and with this particular MNO, we are hoping to replicate that to other customers as well. What we're seeing is that we're now attacking the market, and people really value what we're bringing to the table. I will just give you a couple of colors. One is the time to market. Whereas the alternative solution would take them four to six months, we are able to do that in less than two weeks. It's astounding what we're able to accomplish with our unique Lighthouse smart network repeater solution. And one of the other things is that we are not only doing this as a product sale, but we are also working with the customers to do the actual deployment. And what does that mean? This means it's more than just a product sale. We're actually going to be providing the maintenance, and we're going to have recurring revenue on the service as we move forward. And that's what's so unique about this new Lighthouse opportunity. Hope that answers your questions, Tim.
Tim Savageaux: I appreciate it. And I hope I heard you right, but I think you talked about the prospects for accelerating growth in 2025, and certainly, you got your addressable market more than doubling. And I wonder if, in that outlook, and you kind of talked about your baseline components business and your newer systems business, I don't know if you can break those down for us. But I guess how much growth from the 5G side are you expecting with regard to that outlook for accelerating growth and growth across all your segments? At least in your own thinking, have you built in material revenue there?
Michael Elbaz: Hi, Tim. This is Michael. So it is a bit early to provide any type of guidance beyond Q4 at this point. But just to give you some color altogether, on the existing businesses, so this is without AirgainConnect platform and without Lighthouse platform. And you're correct, the doubling of the TAM is coming from both the vehicle gateway with AirgainConnect and also the smart network repeater with Lighthouse. But in terms of the existing businesses that we currently have, we do expect some slight growth year over year, primarily because of some of the headwinds that we have on some of the excess inventory challenges, but at the same time, we're also having this growth in asset tracker along with FWA, for example, and even IoT and consumers. From a Lighthouse and also from AirgainConnect fleet, this is a bit early to tell, mainly because we don't have complete visibility of the overall size of the design wins, but also the sales or the design win to sales cycle is very elongated. This commercial order, for example, that we just received, is with a customer that we have been working with for over a year. This was part of the live network trial that we had mentioned back in Q2, and so there is some progress there. We're hoping that the fact that we have delivered on the AirgainConnect fleet as we were expecting it to be and to have initial shipments of the device in Q3 and the fact that we are where we are right now with Lighthouse when we're expecting commercialization to be in the early part of next year sets the stage for us to believe that we are poised for some growth in those markets.
Tim Savageaux: Great. And maybe one final question from me, kind of relevant to that AirgainConnect fleet commentary. I mean, it looks like you mentioned a bit of a pullback in consumer and only a modest uptick or modest recovery in enterprise. Should we be implying there that auto is the main driver of your sequential growth in terms of guiding up a million plus in the midpoint? Thanks.
Michael Elbaz: Yes, sequential growth would be driven by the automotive market. And this is also the reason for the wider range that we have on the guidance, primarily due to the overall lack of visibility specifically on those new initiatives.
Tim Savageaux: Thanks very much.
Operator: Our next question is from Scott Searle with Roth Capital Partners. Please proceed.
Scott Searle: Hey, good afternoon. Thanks for taking my questions. Hey, guys. I apologize if this was covered earlier. I hopped on the call a little bit late, but I wanted to go to Lighthouse. It sounds like you've got some pilot activity going on. I'm wondering if there is any further color that you provide in terms of timeline to some of that converting into revenue? And second, on the NimbleLink front, there have been significant headwinds across the industry just in terms of inventory. I think you guys have been working through that as well. It seems like that is starting to clear up now. Plus, there's a void on top of that, I think, with Sierra Wireless not effectively addressing the marketplace. So I'm wondering what you're seeing overall in the module, in the tracking space, the design activity that goes along with NimbleLink, and how you're kind of thinking about things as we go into the end of the year and 2025. Thanks.
Michael Elbaz: Thank you, Scott. I'll start. So on Lighthouse, we do expect some initial revenue in the Q4 quarter. And on the NimbleLink product lines, we did see and we do see some headwinds from persistent inventory challenges. Now the overall broader, quote-unquote, inventory correction that we have seen last year is now becoming much more customer and product-specific. And so, really, it's hitting us in these custom products, but we have two strategic customers that are experiencing some excess inventory, and we had mentioned as well that it may extend through the first half of next year. And so while we are driving that, there are some pockets of growth, especially with asset tracker, that we are definitely investing quite a bit on.
Jacob Suen: Yeah, I think that, you know, look, while we don't give guidance beyond the next quarter, since we're at the end of the year, you know, I think that, you know, I can share some color as we enter into 2025. You know, certainly, you know, the inventory correction, some of the seasonality, we know that's expected. But I do expect overall we're going to be seeing growth in all three of our markets. The consumer, we've seen that with the Wi-Fi 7, with the uptick, with the MNO, with the inbound FWA, we expect that to be of the growth, you know, 2025 versus 2024. With the automotive market, I think that the big additional contributor is the AirgainConnect fleet. So expect that to really help sustain the growth. And then in regards to enterprise, certainly, with the maintenance FWA, but most so with the Lighthouse, now we feel comfortable with, we also think that, you know, that's going to really help position us well for the growth within enterprise as well. So all in all, we're expecting, you know, a nice growth. Although, the first half, we may still have to deal with some, you know, inventory correction, as you mentioned, you're seeing that in our industry, right, on the IoT space. We're seeing the same thing, but we do expect that already, you know, at the tail end by the end of the first half.
Scott Searle: Great. Thanks so much.
Operator: At this time, this will conclude our question and answer session. Airgain's Investor Relations team can be reached at airg@gateway-grp.com. I would now like to turn the call back over to Mr. Suen for closing remarks.
Jacob Suen: Thank you all for joining us today. I want to extend special appreciation to our outstanding team for their tireless efforts and invaluable contributions. They are the driving force behind our success. I would also like to thank our investors for their continuous support and trust in our vision. We look forward to sharing more updates with you in the future. Operator, you may now conclude the call.
Operator: Thank you. Thank you for joining us today for Airgain's third-quarter 2024 earnings call. You may now disconnect.